Operator: Good day and welcome to The New York Times first quarter 2008 earnings conference call. (Operator Instructions) For opening remarks and introductions, I would like to turn the call over to Ms. Catherine Mathis. Please go ahead.
Catherine J. Mathis: Thank you and welcome to our first quarter earnings conference call. We have several members of our senior management team here today to discuss our results with you, and they include Janet Robinson, our President and CEO; Jim Follo, our Senior Vice President and Chief Financial Officer; Scott Heekin-Canedy, President and General Manager of The New York Times; and Martin Nisenholtz, Senior Vice President, Digital Operations. Our discussion today will include forward-looking statements and our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2007 10-K. Our presentation will also include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our corporate website, www.nytco.com. An archive of this call will be available on our website, as will a transcript and a version that’s downloadable to an MP3 player. With that, let me turn the call over to Janet Robinson.
Janet L. Robinson: Thank you, Catherine and good morning, everyone. Today we announced the results of a challenging quarter, one that showed the effects of a weaker economy. As we move ahead into a year that will pose continued challenges for everyone in the media industry, we can assure you that no matter how the economy shapes up, our drive and determination is to continue the hard work in which we have been engaged to transform The New York Times Company. We are guided by a strategy designed to meet the demands of a marketplace that has been reconfigured technologically, economically, and geographically. There are four key elements to our strategy -- introducing new products and services, both in print and online; aggressively managing our costs; rebalancing our portfolio of businesses both by making acquisitions and by divesting properties that no longer meet their financial targets or fit strategically within The Times Company; and building our digital research and development capability. We undertake these actions with the goal of increasing the value of our company for our shareholders. Underlying our strategy and central to the mission of our company is our quality journalism. Last week our news organizations were recognized for their outstanding coverage with three Pulitzer Prizes, two at The New York Times for investigative and explanatory features and one at The Boston Globe for criticism. As a company, we have won more Pulitzers than any other news organization. We strive to be the leading source of great journalism that consumers can access wherever and whenever they want and even in some ways they may not have yet envisioned. We do this in print and online, on mobile devices, in text, graphics, audio, video, and even live events. Because of our high quality content, we have very powerful and trusted brands that attract educated, affluent, and influential audiences. They are a true competitive advantage as we move into an increasingly digital world. Turning now to the quarter, EPS from continuing operations was $0.00 per share compared with $0.14 in the first quarter of 2007. In the first quarter, we had a non-cash charge of $18.3 million, or $0.07 per share for the write-down of assets for a systems project. To decrease capital spending, the company reduced the scope of a major advertising and circulation project, which resulted in the write-down of previously capitalized costs. In addition we had a favorable tax adjustment of $4.6 million, or $0.03 per share. In the same quarter last year, we had an unfavorable tax adjustment of $4.5 million, or $0.03 per share. Excluding the non-cash charge and the tax adjustments, EPS from continuing operations was $0.04 in the first quarter of 2008 compared with $0.17 in the first quarter of 2007. Operating profit before depreciation and amortization and the non-cash charge was $66.4 million compared with $98.9 million in the first quarter last year. Moving to revenues, total revenues for the company declined 4.9% with ad revenues down 9.2%. Circulation was up 1.9% and other revenues up 7.2%. Ad revenues at the news media group decreased 10.6%. Performance varied by category with national advertising down 3.8%, retail down 11.1%, and classified down 22.6%. At the Times media group, ad revenues decreased 6.9% in the quarter. National print categories that performed well included financial services, which benefited from bank advertising directed at small businesses and retail customers and mutual fund spending; media, where cable and network television stations promoted new series and election coverage; and international fashion, which saw increased paging in the Spring T men’s fashions and which made Spring T women’s fashion a record-breaking issue. Both issues had a significant number of new advertisers. In total, luxury print advertising, which makes up about 11% of the Times media group ad revenues, increased in the low single digits. The national print categories where we saw the largest declines were telecommunications as wireless carriers reduced advertising; transportation, as international and domestic airlines cut back their spending due to a rise in fuel costs; and national automotive, which saw advertising declines from domestic car manufacturers. Classified advertising decreased in all three major categories, real estate, recruitment, and automotive. Retail advertising revenues were down due to decreased advertising from department stores, home furnishing stores, and mass market advertisers. New products benefited us in the quarter, including a new section on wealth in The New York Times and a new magazine devoted to style from The International Herald Tribune. The New England media group’s advertising revenues decreased 16.3%. Ad revenues in the national category declined in the first quarter as a result of lower financial services, telecommunication, national automotive, and travel related advertising. Retail advertising revenues decreased due to weakness in home improvement, computer office supply, and home furnishing advertising. Departments and discount stores increased their advertising in the quarter. Overall, classified advertising at the New England media group was soft in all three major areas, recruitment, real estate, and automotive. As in other U.S. cities, real estate advertising declined in Boston due to the soft housing market. New products targeting luxury categories helped offset some of the ad revenue declines in the quarter. Among them are Fashion Boston and a new publication called Lola, which covers local restaurants and shopping. Both of these publications have attracted new national and local advertisers. At the regional media group, advertising revenues decreased 17%, mainly due to lower levels of classified advertising. Real estate, recruitment, and automotive advertising declined significantly. Much of the decline was related to the downturn in the Florida and California housing markets, which we began to see in the fourth quarter of 2006. It has affected not only real estate but recruitment and retail advertising, including the home improvement, home furnishings, and department stores categories. About two-thirds of the ad revenues of the regional media group came from newspapers in Florida and California. Total circulation revenues were up 1.9% in the quarter, mainly because of higher home delivery and newsstand prices. The New York Times increased its price in the third quarter of 2007. The Globe increased its newsstand price in February of 2008. Overall, the Time and our other newspapers are executing a circulation strategy that rebalances the copy mix away from less profitable circulation. As we execute this shift, we are seeing copy declines. But by pursuing this strategy, we have realized and will continue to realize significant benefit to our expense performance. The number of people who subscribe to The New York Times for at least two years surpassed 800,000 for the first time in 2007. That represents 90% of the Times’ subscriber base. Similarly, The Boston Globe has a core group of approximately 340,000 readers or about 85% of their subscription base, who have been subscribers for more than two years. These metrics speak to our brand loyalty and the continued strength of the print medium. In January, the Times opened another national print site in Dallas and in March it began printing in Philadelphia. We expect each of these sites will reduce distribution and other costs, as well as improve circulation. Other revenues at the news media group rose 6% as a result of rental income from space we leased out in our new headquarters and additional commercial printing revenues. In the fourth quarter of 2007, the New England media group began its multi-year contract with GateHouse Media to print two of its daily papers in the Boston market. The group already prints several newspapers, including Metro Boston and The New York Daily News. At our digital operations, our strategy is delivering strong revenue growth, which we believe will be key to our success for many years to come. In the Internet arena, we are focusing on three key levers -- attracting more users, deepening their engagement, and then monetizing their usage. In total, our digital businesses grew nearly 12% in the quarter and generated $82.9 million, or 11% of the company’s revenues. Internet advertising revenues increased 16% in the quarter. The About Group had another strong quarter. Total revenues grew 25% to $28.2 million because of increased cost-per-click advertising and the acquisitions of Consumersearch.com and youcomparehealth.com. Excluding acquisitions, revenues grew approximately 16%. Operating profit before depreciation and amortization for the About Group rose 9.5% in the quarter to $12.6 million from $11.5 million. The ongoing development of content verticals across all of our websites has helped the Times Company become the 11th most visited parent company on the web in the United States, with 50.4 million unique visitors in March, up approximately 16% from March of 2007. Our reach represents nearly 23% of the online audience in the United States. Last month, Nielsen Online again ranked nytimes.com the number one newspaper website, a position it has long held. At 18.9 million unique visitors in the United States, nytimes.com is nearly twice the size of the next newspaper website. Like its print counterpart, nytimes.com excels at reaching several audiences highly coveted by advertisers. It is attracting a growing number of young people. One in six college students visit our website and between March ’07 and March ’08, nytimes.com added more than 1 million people 18 to 34 years of age. According to Dynamic Logic, an independent research company, advertising on nytimes.com is over 30% more effective than the industry average in building purchase intent among top management, including C level executives, EVPs, and SVPs. We believe the effectiveness of ads on nytimes.com enables us to command higher rates for our display ads. In this era, no media company can afford to be an island and we are pursuing relationships with leading web and broadcast entities. In November, our regional media group entered into a new agreement with Yahoo! to provided advertising and search services to that group’s website and the website of the Worcester Telegram and Gazette, which is part of our New England media group. At the beginning of this year, CNBC and The New York Times entered into a digital content sharing agreement in the areas of business and technology, including finance, economics, money management, and personal finance. And in February, four media companies including the Times Company created a new online sales organization called Quadrant One, for premium advertisers seeking high quality local audiences and national reach. The websites associated with the New England and regional media groups are participating in this network. We will continue to look for ways to work with other organizations that can strengthen our business. Looking at the balance of 2008, we see continued challenges for print advertising in a faltering economy. In April, the rate of decline in advertising revenues is expected to be in the mid single digits. This is an improvement from our March performance and is due mainly to shifts in the timing of Easter and in the publication of Key magazine. Our strategy has been to carefully focus on preserving and enhancing the value of our core newspaper brands at the same time that we position our company for a strong and vibrant future in an increasingly digital world. While results will vary from quarter to quarter, we believe that over the long-term the strategy we are executing and our approach, careful and deliberate, respecting the essence of our brands and the value we place on quality journalism, will increase shareholder value. Now let me turn the call over to Jim.
James M. Follo: Thank you, Janet. As Janet mentioned, we continued to tightly manage our expenses in the first quarter. Operating costs excluding depreciation and amortization declined eight-tenths of a percent because of lower newsprint, outside printing, and distribution costs and benefit expense. These were offset in part by increased stock-based compensation, buy-outs, the effect of foreign currency translation because of the Euro/dollar relationship, and costs associated with our plant consolidation. Stock-based compensation expense increased $6.2 million in the first quarter, primarily because of the shift in the timing of the company’s annual equity awards. Historically, our equity grants were made in December of each year. In early 2007, the board elected to make annual equity awards in February of each year beginning in February 2008 to better enable it to evaluate performance during the most recently completed fiscal year. Buy-out costs were also significantly higher in the first quarter of 2008 versus the same period last year -- $11.2 million versus $7.8 million, a swing of $3.4 million, or $0.01 per share. While foreign currency translation had a favorable effect on revenues, it increased expenses by $2.4 million in the quarter. There were also approximately $4 million of non-recurring costs associated with the consolidation of our two New York area printing plants. Newsprint expense decreased 23.4%, with 17% of the decline resulting from decreased consumption and about 6.4% resulting from lower prices. The Times reduced the web width of its printed pages in August and the Globe did so in the fourth quarter, further decreasing our newsprint consumption. These initiatives, along with changes at our regional newspapers, are expected to result in newsprint savings of approximately $12 million on an annualized basis. Beginning in the second quarter, we expect to see year-over-year increases in newsprint prices. Excluding these various items, the equity grant buy-outs, currency translation, consolidation expenses, and newsprint price effect, our operating cost before depreciation and amortization decreased approximately 3% compared to the first quarter of 2007. The revised upward estimate -- we revised our upward estimate from our income from joint ventures mainly because we expect better operating results at the paper mills in which we have interests. Previously we had estimated $12 million to $16 million for 2008. We now project $16 million to $20 million for the year. Depreciation and amortization in the quarter totaled $41.9 million versus $44.4 million in the same period a year earlier. The decrease was mainly attributable to lower accelerated depreciation with the consolidation of our New York area printing plants, which we completed last month ahead of schedule. Now that the plant consolidation project has completed, we do not expect any additional accelerated depreciation going forward. We are executing well on our program to reduce our 2007 cost base by $230 million by 2009, excluding the effects of inflation, buy-outs, and one-time costs. Of this amount, we expect to achieve $130 million in savings this year. As I mentioned, we completed the plant -- the consolidation of our two New York area printing plants in the quarter, which we estimate will save $30 million in annual operating costs. At the same time we have been reducing expenses, we have also been investing in our digital businesses. This is evident in the About Group where costs increased 31% to $18.6 million and $14.2 million as a result of the acquisitions and investments in new revenue initiatives. While this will initially result in lower operating margins, we believe it is critical to growing the About Group’s business over the long-term. Similarly, we are also investing in digital operations of our other websites, which we think is necessary to achieve our long-term growth objectives. Moving to CapEx, in the -- our first quarter expenditures totaled $32.8 million as a result of the reduced scope of our major advertising and circulation project. For the full year, we expect that our total capital expenditures will be $150 million to $165 million, including approximately $42 million for the consolidation of our New York area plants and about $22 million for our new headquarters. We lowered our guidance as a result of the scope of the systems project Janet mention. As Janet said, our income tax rate for the first quarter was affected by a favorable adjustment. We expect our income tax rate to be between 40% and 43%. However, there are many factors that can result in significant volatility quarter to quarter. We are carefully executing and monitoring all expense initiatives and are on track to achieve these savings while continuing to explore opportunities to become more cost effective. In closing, recognizing that the media marketplace is in the midst of a significant transition and the economy is weakening, we believe it is more important than ever to continue to exercise strong financial discipline as we execute our business strategy and allocate capital. And with that, I’d be happy to open it up for questions.
Operator: (Operator Instructions) We’ll go first to John Janedis with Wachovia.
John Janedis - Wachovia Securities: Good morning. Thank you for taking my question. Jim, can you give us a better idea on how the $130 million in savings will flow throughout the year? And have you identified now all of the components? And how much was recognized in 1Q?
James M. Follo: Well, we did have several factors that I think distort a little bit the first quarter, and I gave as much detail as I could. I think those non-comparable factors were about $23 million in the quarter or incremental over last year, impacted our first quarter by about $16 million. So many of those things, specifically the stock compensation and the Edison consolidation, will not obviously repeat in subsequent quarters. We certainly will begin to see the effect of the Edison plant consolidation beginning really in the second quarter. In fact, the Edison consolidation was actually negative to us in the first quarter, so we’ll begin to see that more fully and that will -- the benefits will ramp throughout the rest of the year. We expect that some of the headcount reduction programs that we have put in place recently will begin bearing fruit as we go through the second quarter but will be fully effective in the third quarter. So as I said, we are very much on track to get that 130 commitment and we are executing well but clearly the plant consolidation and headcount reductions will begin to pick up steam as we get deeper into the year.
John Janedis - Wachovia Securities: Okay, so if I’m just thinking about modeling it, maybe three quarters of that then be in the second half of the year or can you comment on that?
James M. Follo: We’re going to continue to see good cost control in the second quarter but I certainly would be looking at third and fourth quarter as accelerating the pace of decline.
John Janedis - Wachovia Securities: And then just on a separate note, can you talk a bit more about March at the New England media group? Relatively speaking, the change from February was a bit more pronounced than either at the Times or at the regional media group. So if we look behind the Easter impact, what are you seeing there in the market maybe ex-classifieds?
Janet L. Robinson: We’re seeing financial advertising soften quite a bit, John. In addition, from a standpoint of the department stores, we did see growth in the first quarter in department store but that -- department stores but that is beginning to wane in the -- towards the March timeframe. Classifieds is really the major culprit, however, with real estate, help wanted, and automotive really having the largest impact on their performance. You know, it’s clear in regard to Boston that there are very strong cyclical and secular forces in effect. Not only is it a very weak economy nationally; it’s a very weak economy certainly in New England and the media fragmentation up there is really quite pronounced, so that is affecting pretty much every category of business. That said, there is progress that has been made in Boston, particularly in regard to the cost reduction and the efficiency moves that we’ve made up there with the new management team that we put in a little over a year ago. We are very much focused on improvement, as you can well imagine, in the months ahead.
John Janedis - Wachovia Securities: Thanks, Janet. I’m sorry, Jim, one last housekeeping question -- the run-rate on interest expense from 1Q is around $48 million or so. Is there something I might be missing to get me to that $50 million $60 million range?
James M. Follo: The run-rate for interest expense?
John Janedis - Wachovia Securities: I think it was around 11.7 for Q1 but I think you are talking about maybe a $50 million to $60 million range for the full year.
James M. Follo: Let me come back to you on that.
John Janedis - Wachovia Securities: Okay. Thank you very much for taking my questions.
Operator: We’ll go next to Barton Crockett, J.P. Morgan.
Barton Crockett - J.P. Morgan: Okay, great. Thanks for taking the question. I wanted to ask a little bit more about the near-term outlook in advertising. I mean, if you average March and April, you were down around 8% or so in terms of your outlook for April. Is there anything you see in like May and June that would suggest any type of variance from that kind of two-month average trend we’ve seen most recently in terms of comps or things that you see in the pipeline, so that’s my first question.
Scott H. Heekin-Canedy: I’ll start for the outlook from the Times and with my usual caution about very limited visibility and significant volatility. Clearly the recession is having an impact on spending patterns. There are significant differences from category to category, as I hope you would expect. I’m not sure that I can -- I’ve got good visibility into May and June at this point and I wouldn’t give you any kind of suggestion that you are going to see something significantly different from that March/April average.
Barton Crockett - J.P. Morgan: All right, great. And then turning a little bit to the employee buy-out costs that you guys had this quarter, could you give us a sense of what we should think about in terms of the balance of the year for spending on buy-out costs? I mean, are we passed the bulk of it, do you think? Or are there some other kind of lumps that we should look for?
James M. Follo: I would say that the second quarter will also be heavy on buy-outs. It’s often difficult to predict with precision the exact dollar amounts but the first and second quarter will clearly be the bulk of what we would expect to see. And I would -- and just kind of -- unfortunately I think of a fairly large range here but we are looking at for a full year somewhere in the $30 million, $35 million range. That is a very fluid number but you would expect to see most of that in the first half of the year.
Barton Crockett - J.P. Morgan: Okay, and then a final question here and then I’ll step aside -- I just wanted to get your comments about one kind of question that was raised by Howell Raines I guess in this article in Conde Nast Portfolio, where he was suggesting that under Murdoch, that the Journal is going to be trying to focus very much more on competing with The New York Times and I was just wondering if you are seeing that and any areas where you think you are bumping up against them more in terms of editorial coverage, competition for advertisers, just if you are seeing anything so far.
Janet L. Robinson: I think we’ve always competed with national newspapers, certainly USAToday and the Wall Street Journal. We’ve competed with them for years and we will continue to. I think that from a standpoint of the coverage, I think that it is clear that the Wall Street Journal is positioning itself quite differently in regard to its overall coverage, broadening it very much into the international and political arena, and with the launch of their magazine entering into broader lifestyle coverage. That said, The New York Times has had broad coverage for 156 years and from that perspective, we are far advanced in regard to the kind of journalism that we create and the kind of advertising that indeed we bring into our newspaper.
Barton Crockett - J.P. Morgan: Okay, great. I’ll leave it there. Thanks a lot.
Operator: We’ll go next to Alexia Quadrani, Bear Stearns.
Alexia Quadrani - Bear Stearns: Thank you. Janet, just to follow-up on your comments earlier about the Boston Globe. Should we expect I guess slightly better performance in April off of the Globe or is it really your comments I guess about sort of slightly better performance in April more really focused on The New York Times when you mention in the press release that company wide that advertising trends were a little bit better? And then also on the Globe, the price hike at the Globe in February, could you let us know how significant that was and remind us what percentage of I guess circ and single copy sales there?
Janet L. Robinson: In regard to the Globe in April, the Easter effect will help the Globe -- needless to say it’s helping all of our newspapers. And I think from a standpoint of a retail base up there, I think that will certainly help in regard to their April performance as opposed to their March performance. They are going through, as I noted earlier, many cyclical and secular changes up there and doing a very good job on the cost side, which I think you’ll begin to see certainly even more, as Jim pointed out, as the year progresses. In regard to the price increase, it was a single copy increase in February. They are I think quite pleased with the responses they’ve seen. The decline in single copy has not been as severe as they had predicted, so I think from a standpoint of the overall move, they felt as though this was a positive one in regard to circ revenue. From a standpoint of the overall audience -- hold on, in regard to the single copy. I’m just getting the number for you.
Alexia Quadrani - Bear Stearns: I actually have a question, a follow-up question on the $130 million for Jim, if I can go ahead with that while you are looking that up.
Janet L. Robinson: It’s 25% in regard to single copy -- 75% home delivery on the daily and 25% in regard to single copy. On Sunday, it’s 70-30.
Alexia Quadrani - Bear Stearns: Thank you, and just on the $130 million in cost savings which you seem on track to complete this year, how much of that should we expect may be redeployed in initiatives at About and other areas, or is it all going to really flow through?
James M. Follo: That number we will deliver ex-inflation buy-outs and while we are expecting to continue to invest in not just About and digital properties, that will not dilute that 130. We’re expecting to cover that 130 in our initiatives.
Alexia Quadrani - Bear Stearns: Okay, and just one last one I’ll sneak in -- of the stock-based comp expense that was up $6.2 million in the quarter, can you let us know how much of that was sort of that one-time-ish I guess from the move from December to February?
James M. Follo: Substantially all of it.
Alexia Quadrani - Bear Stearns: Okay. Thank you.
Operator: We’ll go next to Craig Huber, Lehman Brothers.
Craig Huber - Lehman Brothers: Good morning. A couple of questions; first, a few weeks ago, I guess it was announced you were moving 8% to 9% of your editorial staff at your flagship newspaper. I was wondering, the middle of last year when you put out that $230 million target to take out cost out of the 2008/2009 time period, was that in your original thinking last July, you are going to take out roughly 8% to 9% editorial staff at this stage?
James M. Follo: I’m not sure where you are getting 8% to 9%. I think it was 100 on -- I’m not sure that’s the right number.
Craig Huber - Lehman Brothers: What is the right number then?
James M. Follo: I’m sorry, it’s about -- essentially it’s in that number. That is correct.
Craig Huber - Lehman Brothers: But I’m just curious, was that part of your original thinking I think last July when you put out this $130 million target for this year?
James M. Follo: We certainly had anticipated reducing headcounts across the organization to get to that number.
Craig Huber - Lehman Brothers: But the editorial staff though, because that seems to be very taboo, and rightly so, your guys flagship paper.
James M. Follo: That is not additive to the 230.
Craig Huber - Lehman Brothers: No, no -- okay, okay. My other big question here, you guys recently added two more people to your board of directors. And I was just wondering, just given the short timeframe here, has anything come out of that in your discussions in terms of any enhancements or anything that’s illuminating to your operation here that’s been brought to the party here to help our your operations here from those two added people to your board of directors?
Janet L. Robinson: I think from a standpoint of what you have certainly read and reported on, Craig, the Times negotiated with Harbinger to bring two new board members on, which will take place next week at our annual meeting and our board of directors meeting, and we are welcoming them and welcome their insights and their perspectives regarding the company and what we can do to increase the shareholder value. There is a lot of common ground that we feel as though we have with these directors, the other two that are coming in as well that were nominated by the company, in regard to what we’ve done strategically with the company. It is clear that we agree with them and they agree with us in regard to accelerating our focus in regard to the digital world and our strength in that. It is also very clear that as we have rebalanced our portfolio, they are in agreement that rebalancing our portfolio is an important part of how we are looking at our company going forward and what we have done in the past. So I think there is a great deal of common ground that we already have and I think that we can expect -- you can expect the company to focus on increasing shareholder value just as we have in the past.
Craig Huber - Lehman Brothers: I appreciate that but I’m just wondering, has there been anything additive though to what you guys would have already done on your own that you guys have picked up so far from adding these two folks?
Janet L. Robinson: I think from a standpoint of similar mindsets in regard to the investments and acquisitions we have made, the focus in regard to cost reduction and productivity and efficiency, it is very similar to what, to be honest, the company has been doing day in and day out for a number of years now. There isn’t anything new, no.
Craig Huber - Lehman Brothers: So it’s very --
James M. Follo: I would just add to that -- I mean, they are not actually on the board today and they will join the board through the process that everybody else will, so I think it’s a little early to start making judgments there.
Craig Huber - Lehman Brothers: Okay, and last question here, on About.com, the contract you have with Google, I’m just wondering what year does that contract with Google expire?
Martin A. Nisenholtz: That contract was just renegotiated in the fall and it’s a five-year contract -- four-year, I’m sorry, a four-year contract.
Craig Huber - Lehman Brothers: Great. Thank you very much.
Operator: We’ll go next to David Clark, Deutsche Bank.
David Clark - Deutsche Bank : Thank you. A couple of digital questions; first, you saw a strong bump in uniques at thenewyorktimes.com in the first quarter, presumably due to a very strong interest in your political coverage. What’s the character of that surge in uniques? Are they mostly one-offs or transient readers coming from news aggregators? And are those readers valuable to advertisers? Can that kind of traffic surge be effectively monetized?
Martin A. Nisenholtz: Actually, let me talk about the traffic gains at nytimes.com because the political piece is just one part of the story and I think it’s actually a minor part of the story. The much more important part of the story began last fall when we brought the pay wall down from Time Select and we began to optimize all of the articles or most of the articles in the Times database, not just the current news articles but the archives as well for search. Search has become, as you all know, the dominant portal or the dominant entry way into the web for many people. And so it’s very important for a company with the sheer number of articles that we have, I think we have something like 16 or 17 million articles, to make sure that those articles are visible to search. And over the last six months, we’ve executed on that promise and so what you are seeing is for the first two months of the year is I think all the data we have at this point, we are seeing about a 33% increase in page views and about a 56% increase in uniques. So that is the strategic backdrop to those very massive increases, both in terms of usage and in terms of page view growth. So the page view growth itself is obviously something that we intend to monetize and we monetize it in two ways, both through our premium display sales force, which obviously gets the best rates, and as Janet I think alluded to in her opening, we do get very significantly higher rates than most websites do in the average. And we also monetize it through relationships with a broad variety of ad networks. So each page, you almost have to look at each page as its own little business in a way. It depends on the category, it depends on certainly how many people have viewed it, and I wouldn’t want to generalize and say that there’s one way to think about monetizing those pages but they are not for the most part political coverage.
David Clark - Deutsche Bank : Okay, that’s very helpful. Just to follow-up on that, how is the display piece, how fast is the display piece of newyorktimes.com growing right now in terms of revenue?
Martin A. Nisenholtz: Display piece in the first quarter grew about 23.8% and that’s true across the media group websites. We were growing in that range in Boston and at the regional group as well on display. We are also very -- I should say happy about what’s happening in April on the display side of nytimes.com as well. So those revenue lines are very, very healthy at the Times Company and you have to keep in mind that the governor on some of them have to do with some of the results in help wanted, as Janet indicated at the outset. But at the Times Company, it’s a much, much smaller percentage of our revenue than it is in a typical newspaper company, and it’s getting smaller by the quarter, by the way.
David Clark - Deutsche Bank : Okay. And then could you talk about the benefits you are expecting to see from Quadrant One? And then also from an advertiser perspective, how is Quadrant One better for them for doing a national ad buy than many of the other national ad networks that are out there, such as Centro?
Martin A. Nisenholtz: Well, what we expect to see from Quadrant One is -- you’ve sort of answered your own question. It’s a way for advertisers to buy nationally across a variety of websites, and to some extent to target to specific geographies in that aggregated buy. So we expect to see benefits because we’ll see more national advertising flowing to those websites. It’s pretty much that simple.
David Clark - Deutsche Bank : I guess but -- I guess my question would also be what is -- from an advertiser perspective, what market niche is Quadrant One filling that couldn’t be fulfilled by Centro or some of the other national networks?
Martin A. Nisenholtz: Well, that’s a complicated question. The short answer is quality content. Most of the ad networks that exist today, advertising.com is probably the best example, provide inventory across thousands and thousands of websites and that inventory is very uneven in terms of its quality. That’s why for the most part direct response advertisers use those networks because they don’t care as much about the branding side of the equation as they do about simply arbitraging the direct response result. Whereas as brand advertising moves over, I think there is going to be a lot more attention to the character of a webpage, the brand that it is sitting on, the proximity to that brand, and the quality of the content. And one of the things that Quadrant One can assure all of its advertisers is that 100% of the pages that the advertiser was going to run in is running against quality content vouched for by a news room. So it’s really a quality story.
David Clark - Deutsche Bank : Okay, thank you. Very helpful.
Martin A. Nisenholtz: -- view story as well, I mean, obviously to the point you were making before, you can buy very flexibly across a variety of these quality websites.
David Clark - Deutsche Bank : Thanks.
Operator: We’ll go next to Karl Choi, Merrill Lynch.
Karl Choi - Merrill Lynch: I have a few questions here. One, I wonder if you could refresh our memory, how big is the airlines category overall for the Times as an advertising category? And also, how did the studio entertainment do in the March quarter? I presume it was down. And then the third question on corporate expense, I presume the increase in the quarter was due to the stock-based compensation. Is there a way to isolate the underlying increase? Thanks.
James M. Follo:
Scott H. Heekin-Canedy: We don’t have a distinct airline category. It’s part of a larger travel category which includes all transportation segments and hotels, among others. That category was down in the first quarter. It’s very economy sensitive, if you will, and I am sure you are familiar with what’s going on in the airline segment itself, which is probably what’s behind your question. Studios was down slightly but it was -- I would characterize it as relatively stable.
Karl Choi - Merrill Lynch: But how big was the contribution from the travel category overall then?
Scott H. Heekin-Canedy: Well, all of those pieces combined is in the mid-single digits of our revenue base.
Karl Choi - Merrill Lynch: Okay, and a follow-up to Martin’s comment, can you give us a breakout of the online advertising revenues by category in the quarter, in terms of percentage of contribution?
Martin A. Nisenholtz: Yes, I can do that. For the company, that is -- overall, the display business grew 15.5% in the quarter and as I said at the news media groups, that line grew about 24%. Classifieds actually declined about 1.9% in the quarter, so total advertising grew 16% in the quarter.
Karl Choi - Merrill Lynch: And the split between display and classified in the quarter?
Martin A. Nisenholtz: The split between display and classified -- yes, I have that as well. I don’t know that I have it for the company but I have it for each of the properties. At nytimes.com, display for the quarter was 70% and classified was 27%; other revenue was 3%. And in Boston, it will just take me a second to bring this up, sorry -- the display business in Boston was 40%, the classified business was 58%, and other revenue was 2%. So those are the two major news websites. I don’t have a breakdown for the regional websites but we can get you that.
Karl Choi - Merrill Lynch: That’s fine. Great, thank you.
Operator: We’ll go next to Edward Atorino, Benchmark.
Edward Atorino - Benchmark Capital: Jim, you gave the -- some numbers on the other charges beside the ones outlined in the press release regarding the consolidation. Would you just mind repeating those?
James M. Follo: Most of it is in the press release. I think the number that might not be is the Edison plant consolidation charges, which is non-recurring at $4 million. The impact on translation our foreign operations was $2.4 million. The stock compensation timing is about 6.2 --
Edward Atorino - Benchmark Capital: That’s in the press, sorry, so 4 and then 2.4. Okay, thanks.
Operator: We’ll go next to Peter Appert, Goldman Sachs.
Peter Appert - Goldman Sachs: Jim, just so I get a better understanding of how you are thinking about the cost dynamics, how do you benchmark the underlying cost inflation that you think you’d face in the business?
James M. Follo: We think of that number in somewhere around the 3% range overall.
Peter Appert - Goldman Sachs: Okay, and that would include or not include newsprint?
James M. Follo: That would exclude that. I mean, we are not fully -- we have a -- you know, it’s very difficult to predict that number. I think our core non-newsprint based costs we think about 3% and then the -- whatever the market dynamics are on newsprint we think of differently.
Peter Appert - Goldman Sachs: Got it. So thinking about your costs, basically up 3, minus 130, whatever happens with newsprint?
James M. Follo: Yeah, now we have said one-time costs. We don’t see things outside of buy-outs as being material and I quite frankly don’t see anything beyond the $4 million recurring on Edison as something -- as a meaningful issue in getting to that cost reduction number.
Peter Appert - Goldman Sachs: Okay, and then anything new on thinking about monetization of the building?
James M. Follo: I have nothing new to report. All the issues continue to be debated and are all on the table and we obviously have to be sensitive to the market conditions and the credit markets as well.
Peter Appert - Goldman Sachs: Got it. And then Janet, the third plank of the strategy in terms of rebalancing portfolio, you’ve obviously done a ton of stuff over the course of the last couple of years. So does the pace of activity, do you think, just in terms of helping us understand how the evolution of the company goes, continues at a high pace in here? And I guess relevant to earlier points, the change in the board, is that a catalyst for further acceleration and activity in terms of rebalancing?
Janet L. Robinson: You know, Peter, that we don’t comment on acquisitions or divestitures, but you also know that we are very disciplined and constantly evaluating the portfolio, not only for performance but for a strategic fit. And rest assured we will continue to do so. It’s just the way we do business. I think it’s also important to note that we were the first in our industry really to start on a very focused march towards rebalancing our portfolio with the acquisition of About in March of 2005, and then certainly with the divestiture of our broadcast group that garnered a very, very good price at the top of the market and the sale of Discovery Times and QEW, it’s clear that we have been and will continue to be on a march to make sure that our portfolio is balanced in a way that will increase shareholder value. When we look at all of our properties, we are looking for improved results. We are looking for very good cost management and we are going to continue to do that going forward. I think that’s one of the points that I made earlier in regard to our two new board members, that the strategic direction that has been outlined is very much in line with what we have done -- increasing our digital holdings and certainly rebalancing our portfolio.
Peter Appert - Goldman Sachs: Sure, great. Thank you. And specifically, Janet or maybe Martin, in terms of acquisition opportunities -- not specifically but acquisition opportunities as you see them in the Internet market space, is there much out there and have the valuations become more interesting in the context of the market corrections?
Martin A. Nisenholtz: There is a lot out there but it is very, very hard to find deals that are -- let’s just say that would produce a great deal of cash flow. There are a lot of web 2.0 companies looking for exits now but very few of them have the kind of revenue or cash flow that we would look for to have a meaningful impact on our business. On the other hand, we continue to mine the marketplace for every possible good deal and we continuously look at these things. If I might, I should -- going back to Karl’s question about revenue growth, I should just add that our CPC line grew about 47% in the first quarter. That’s how you get to the 16%. I neglected to give you the CPC growth rate, which is a substantial number.
Peter Appert - Goldman Sachs: Martin, a lot of the -- recently a fair number of smaller transactions have been done by NYT. Is that probably what we should look for going forward?
Janet L. Robinson: I think from a standpoint of the history, that’s exactly what has happened. Bolt-ons and tuck-ins, either for About or for nytimes.com that can certainly increase the traffic and consequently the ad inventory. We are very conscious of looking at acquisitions that will create shareholder value and certainly give us a stronger revenue stream and stronger traffic but we are going to remain very disciplined in regard to looking at them from a financial perspective, Peter.
Peter Appert - Goldman Sachs: Great. Thanks, Janet.
Operator: And there are no further questions. Ms. Mathis, I would like to turn the call back over to you for any additional or closing remarks.
Catherine J. Mathis: Thanks so much for joining us today. If there are any other questions, don’t hesitate to call. Bye now.
Operator: This does conclude today’s conference. Thank you for your participation.